Operator: Hello, ladies and gentlemen. Thank you for standing by, and welcome to the Hollysys Automation Technologies Fiscal Year 2012 Fourth Quarter and Fiscal Year Ending on June 30, 2012 Earnings Conference Call. [Operator Instructions] Please be advised that this conference is being recorded today, August 15, 2012. 
 I would now like to hand the conference over to Ms. Jennifer Zhang, the Investor Relations Director of Hollysys Automation Technologies. Please go ahead, Ms. Zhang. 
Jennifer Zhang: Hello, everyone, and thank you for joining us. Today our speakers will be Dr. Changli Wang, CEO and Chairman of Hollysys Automation Technologies; Ms. Herriet Qu, CFO of Hollysys; and myself, the IR Director of Hollysys. 
 On today's call, Changli will provide a general overview of our business, including some highlights for the quarter, and Herriet will discuss our performance from a financial perspective and a financial outlook for fiscal year 2013. Both Changli and Herriet will answer questions after their remarks.
 Before we get started, I would like to remind everyone that this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements that are not historical facts, including statements relating to the expected growth of Hollysys' future product introductions, the mix of products in future periods and the future operating results. Such forward-looking statements, based upon the current beliefs and expectations of Hollysys' management, are subject to risks and uncertainties, which could cause actual results to differ from forward-looking statements. 
 The following factors among others could cause actual results to differ from those set forth in these statements: business conditions in China and in Southeast Asia; continued compliance with the government's regulations; legislation or regulatory environments; requirements or changes adversely affecting the businesses in which Hollysys is engaged; decisions or changes in government incentive programs; potential trade barriers affecting international expansion; fluctuations in customer demands; management of company [ph] growth and transition to new markets; intensity of competition from or introduction of new and superior products that other providers of automation and control system technology; timing approval and market acceptance of new product introductions; general economic conditions; geopolitical events and regulatory changes; as well as other relevant risks detailed in Hollysys' filings with the Securities and Exchange Commission.
 The information set forth herein should be read in light of such risks. Hollysys does not assume any obligation to update the information discussed in this conference call or its filings. Please note that all amounts noted in this conference call will be in U.S. dollars unless otherwise noted. 
 And now I'd like to turn the call over to Dr. Changli Wang. Please go ahead, Dr. Wang. 
Changli Wang: We are very pleased to report solid financial and operational performances for the fourth quarter and the fiscal year 2012, and we feel excited about our achievements and the breakthroughs in several sectors. Here, I would like to take this opportunity to discuss some key events and developments during this quarter, as well as in this fiscal year. 
 Industrial Automation business continues its strong growth momentum in both revenue and new orders performance, bolstered by our well-set expansion and total solution strategies. We are pleased that we completed the development of and release our fifth-generation DCS, the Distributed Control System, which represents higher reliability, stability, better [ph] safety protection and user-friendliness, with advanced system architecture, hardware, software designs and industry expert solutions. The fifth-generation DCS is more competitive compared with most of the multinational products and will be the best cost performance product in the market. 
 Besides, we completed the development and certified our SIS, Safety Instrumented Systems, HiaGuard with SIL3, Safety Integrity Level 3, in compliance with international standards and won great respect and recognition from the world-ranking certification company, TUV Rheinland, for our extraordinary innovation capability, high working moral and rigorous development procedures. HiaGuard is the first domestically developed technology and breaks the monopoly by foreign systems in China. Hollysys' HiaGuard can be applied for ESD, Emergency Shutdown System, PSD, Process Shutdown Systems, FGS, Fire and Gas Systems, and et cetera for various industries. This system not only brings us to a wholly new industry, which we will transform the market scenario like our DCS has done, but also complements our total solution providing for our end customers. 
 More excitingly, within the vast industrial automation market, we have found enormous demand to apply our automation devices and solutions to address customers' heightened concern of energy consumption, safety, environmental protection, as well as labor cost reduction. What's more, we are focusing on growing the post-sales services based on our large client base and addressing customers' needs. We believe that leveraging our strong R&D, customization and the innovation capability, brand name recognition and market penetration capability, we will continue to penetrate China's industrial market and strive to be the absolute market leader in China's automation and control industry.
 In the high-speed rail sector, besides the contract we won from Hong Kong MTR Corporation Limited to provide the complete suite of high-speed rail signaling system to Shenzen-Hong Kong Express Rail during the last quarter, we also signed a contract with Ministry of Railways to supply our ground-based signaling system to Xi'an-Baoji high-speed rail line after the long halt of China's domestic high-speed rail construction. This line restores public confidence in high-speed construction and enhances our faith that China will continue to develop its high-speed rail network in the face of rising public demand for traveling efficiency and future economic development. 
 Given China's unchanged high-speed rail construction plan stated in China's 12th Five-Year Plan and increased high-speed rail infrastructure investment for the calendar year 2012, we are more than confident that high-speed rail will continue to bring us significant revenue contribution for the company. Besides, we have certified all of our high-speed rail signaling systems, including ATP, Automatic Train Protection; TCC, Train Control Center; LEU, Line-Side Electronic Unit; BTM, Balise Transmission Module; TSRS, Temporary Speed Restriction Server; HVC, Hollysys Vital Computer; interlocking system and others according to international standards and passed the Safety Integrity Level 4, SIL4, certification. 
 In light of China's heightened consciousness of rail transportation safety, SIL4 certification becomes more and more an important criteria and measurement for the qualification of high-speed rail signaling systems providing. We believe that with our solid market position, strong R&D capability, tight control of our design and production and well-reputed track records, Hollysys will continue to leverage on its core growth pillar foundations to benefit from the recovery of China high-speed rail expansion.
 In the subway sector, besides the contracts we signed with Hong Kong MTR and the Beijing Metro Construction and Administration Corporation to supply our proprietary SCADA, Supervisory Control and Data Acquisition system to Shenzen-Hong Kong Express Rail and the Beijing Subway Line 14, we are well on the track of a subway signaling system development and a certification with international standards, among which ATS, Automatic Train Supervision, and the CBI, Computer Based Interlocking, have passed the SIL2 and the SIL4 certification, respectively, in compliance with international standards. 
 Other products, including ATO, Automatic Train Operation, ATP, Automatic Train Protection, and the ZC, Zone Controller, will pass SIL4 certification by the end of calendar year '12 -- 2012. We believe that subway signaling system will bring us to a higher level in competing with other players to propel our subway business in both China and the international markets, leveraging our solid track record and brand-name recognition.
 Also, in the nuclear automation sector, we are very pleased that we continuously provide our proprietary non-safety automation and control systems to the nuclear power stations. In June quarter, we provided our proprietary non-safety automation and control software platform to #3 and #4 reactors of Hongyanhe Nuclear Power Station and the #3 and #4  Ningde Nuclear Power Stations, each valued approximately $2.2 million. And in August, we signed a contract to supply our non-safety automation and control products to second phase of Qinshan Nuclear Power Station reconstruction project valued approximately $3 million. Hollysys, as the only domestic automation and control technology provider to nuclear power industry in China, will continue to leverage the strategic alliance with the largest nuclear builder and operating China, China Guangdong Nuclear Power Holdings Corp., to further penetrate the nuclear automation and control market both in China and abroad.
 I'm attaching the 2012 Letter to the Investors with this earnings release. I hope it would provide more ideas and help investors have a better understanding of our growth strategies and the business development. We are aiming to deliver the best automation and control technology and the products to grow this company to be one of the world's leading automation and control enterprises and continue to create customers -- create value for our shareholders.
 In addition, Hollysys investors are invited to attend our Annual Investor Day in the middle of October at our Beijing premises, which will be filled with showcasing our whole executive team, insightful presentations from various corporate executives and a facilities tour to further enhance our transparency, corporate investor relations and communication. Our shareholders who would like to participate in this annual event shall contact their brokerage firms to arrange the reservation. We are looking forward to meeting with you in October at our premises. 
 With that, I would like to turn the call to Jennifer Zhang, who will read the financial results analysis on behalf of the CFO, Ms. Herriet Qu. Okay, Zhang. 
Jennifer Zhang: Thank you, Dr. Wang. In a nutshell, Hollysys' financial and operational results for the fiscal year 2012, the company reported robust financial results. For fiscal year 2012, total revenues increased by 22.4% to $321.7 million from $252.8 million of the prior year. Of the total revenues, revenue from integrated contracts increased by 22.7% to $305 million from $248.6 million for the prior fiscal year. 
 The company's integrated contracts revenue by segment was as the following: Industrial Automation, $181.7 million; Rail Transportation $99.1 million; Overseas, $24.2 million. The Rail Transportation revenue of $99.1 million for fiscal year 2012 consisted of high-speed rail revenue of $66 million and subway automation revenue of $33.1 million. 
 As a percentage of total revenues, overall gross margin was 39.3% for fiscal year 2012 as compared to 34.7% for the prior year. The gross margin for integrated contracts and product sales were 38% and 62.9% for fiscal year 2012 as compared to 33.5% and 55.4% for the prior year. The gross margin fluctuation was mainly due to the different revenue mix with the different margin.
 For fiscal year 2012, selling expenses were $27.6 million, representing an increase of $9.2 million (sic) [$7.2 million] or 35.2% as compared to $20.4 million year-over-year. The increase was mainly due to the company's expanded sales network and increased selling staff. As a percentage of total revenues, selling expenses were 8.6% and 7.8% for fiscal year 2012 and 2011, respectively.
 General and administrative expenses, excluding noncash stock based compensation expense, were $25.2 million for the fiscal year 2012, increased by $9.1 million or 56.1% as compared to $16.1 million year-over-year. The large increase was mainly due to an increase of $4.9 million contributed by the newly acquired subsidiaries; an increase of $2.4 million in exchange loss regarding intercompany current accounts translation between Singapore dollar, RMB and the U.S. dollar; and an increase of $1.6 million in allowance for doubtful accounts. As a percentage of total revenues, G&A expenses were 7.8% and 6.1% for the fiscal year 2012 and 2011, respectively. Including the noncash stock compensation costs recorded on a GAAP basis, G&A expenses were $26.3 million and $16.7 million for fiscal year 2012 and 2011, respectively.
 Research and development expenses were $25.6 million for fiscal year 2012 compared to $20.1 million for last year, increased by $5.5 million or 26.9%, mainly due to the company's increased R&D activities. As a percentage of total revenue, R&D expenses were 7.9% and 7.7% for fiscal year 2012 and 2011, respectively.
 The VAT refunds and the government subsidy, amounted to $18.3 million for fiscal year 2012 as compared to $10.8 million for fiscal year 2011, representing an increase of $9.5 million (sic) [$7.5 million] or 69.3%, mainly due to the PRC government approving a VAT refund of $5.3 million in fiscal 2012 related to the sales generated during January to June 2011.
 The gain on disposal of long-term investments amounted to $2 million for fiscal year 2012, which Beijing Hollysys, the company's wholly-owned subsidiary, disposed a 10% equity interest in China Techenergy Co., Ltd. by consideration of RMB 27.8 million, approximately $4.4 million, and recognized a disposal gain of $2 million during this year. After this transaction, Beijing Hollysys continues to hold 40% equity interest in China Techenergy.
 The income tax expenses and effective tax rate were $10.4 million and 15.5% for the fiscal year 2012 compared to $6.4 million and 13.5% for the prior year. The large income tax expenses for this year was mainly due to an income tax expense of $2.7 million related to certain expenses incurred during the year that were determined not to be deductible for tax purposes.
 For the fiscal year 2012, the non-GAAP net income, excluding noncash stock compensation cost, was $57.4 million or $1.03 per diluted share based on 56 million shares outstanding. This represents an increase of $15.4 million or 36.5% over the $42 million or $0.76 per share based on 55 million shares outstanding reported in the prior year. On a GAAP basis, net income attributable to Hollysys was $56.2 million or $1.01 per diluted share, representing an increase of $14.7 million or 35.6% over the $41.5 million or $0.75 per share reported in the prior year.
 Hollysys' backlog as of June 30, 2012, was $389.8 million compared to $401.8 million on March 31, 2012, and $296.4 million on June 30, 2011. The large increase was mainly contributed by a backlog of $63.2 million brought by contracts with the Hong Kong MTR Corporation to provide high-speed rail signaling systems. The detailed breakdown of backlog by segment is as following: Industrial Automation, $150 million; Rail Transportation, $196.9 million; Overseas, $42 million.
 The net cash provided by operating activities was $0.5 million for the 3 months ended June 30, 2012. Including investing and financing activities, the total net cash outflow for this quarter was $29.8 million, mainly due to $21.6 million deposit in banks from current accounts to time deposits with maturities between 6 months and 1 year; $5.3 million used for repayment of short-term loans; $2.5 million used for purchase of property, plant and equipment and $2 million used for repayment of long-term loans.
 For fiscal year 2012, the total net cash inflow was $5.7 million, mainly consisted of $57.2 million provided by operating activities; $4.4 million proceeds from disposal of long-term investments; and $3.3 million proceeds from disposing property, plant and equipment; offset by $21.6 million deposit in banks from current-accounts to time deposits with maturities between 6 months and 1 year; $12.3 million used for repayment of short-term loans; $8.3 million used for purchase of property, plant and equipment; $8.2 million used for repayment of amounts due to the former shareholders of Concord; and $6 million used for repayment of long-term loans.
 The total amount of cash and cash equivalents and time deposits with maturities over 3 months were $117.9 million, $126.2 million and $90.7 million as of June 30, 2012, March 31, 2012 and June 30, 2011, respectively. Of the total $117.9 million as of fiscal year 2012 ended June 30, 2012, cash and cash equivalents were $96.3 million and time deposits with maturities over 3 months were $21.6 million.
 For the 3 months ended June 30, 2012 days sales outstanding, DSO, is 139 days as compared to 129 days year-over-year and 160 days quarter-over-quarter. And the inventory turnover is 53 days as compared to 63 days year-over-year and 68 days quarter-over-quarter. For the year ended June 30, 2012, DSO is 145 days as compared to 124 days for the prior year and the inventory turnover is 54 days as compared to 58 days for the prior year. 
 Given our strong backlog currently on hand and sales pipeline envisioned so far, we project our revenue in the range of $385 million to $410 million and non-GAAP net income in the range of $63 million to $67 million for fiscal year 2013.
 It is worth mentioning that the relatively slower expected growth rate of net income for fiscal year 2013 compared with that of revenue is because we recognized 18 months VAT refunds in fiscal year 2012 due to the government's delayed issuance of new VAT refund policy. Without this factor's influence, investors could expect similar growth rate for both revenue and net income for fiscal year 2013 compared with the prior year. Thank you.
 At this time, we'd like to open up for the Q&A session. Please note that for Chinese-speaking participants, we can also do the Q&A in Mandarin, and we will provide translation. [Chinese] Operator, please. 
Operator: [Operator Instructions] Your first question comes from the line of Paul Gong with Citigroup. 
Paul Gong: Basically, my question is regarding your new products, the fifth-generation of DCS and Safety Instrumented System. On the fifth-generation DCS, do you think these new products will trigger a wave of replacement and upgrade the amount from your existing customers or your existing customers will just wait and still use the old generation DCS? Also, do you think some of the customers have delayed their new orders before your release of this new generation DCS or they have already put their orders before you release, I mean, during the previous quarter? How much do you think this will like incrementally benefit your new orders on Industrial Automation? And on your Safety Instrumented Systems, so far, from what my understanding is, the market size of this product is slightly above RMB 1 billion per year in China and 70% of the market belongs to  [indiscernible]. Is that true? Could you please give us some color on the market situation of these products? And do have any particular target for your market share by what time? And I'll stop here. 
Changli Wang: Okay. Thank you, Paul. For the first question, the fifth-generation DCS was developed quite quietly. We didn't announce any information before, so not many customers knew we are -- we were going to launch the new system so soon. So I think the original market is just okay. But just as I said in my letter to the investors and also in this conference call, just aside, the fifth-generation DCS has a lot of advantages compared with our prior systems, even. Not to say, I do not want to compare our systems with competitors. Okay? Because our original system is already very competitive compared with the other competitors. But this system is much more competitive in a few ways. First of all, the system was totally designed -- redesigned -- and based on a few factors. And we have analyzed, summarized almost all the new features of the multinational systems. And secondly, we have summarized and analyzed all the failures that happened, whether by our systems or by misoperation of the customers of our previous systems before. So we made the update to get rid of all these functions. And the third, the system is more user-friendly, so it's much easier to use. So, not only is the customer finding it's easier to use, but also will save our engineering efforts, so can raise our efficiency of engineering projects. So in the future, the new products definitely, when we launched this system, will accelerate our -- I mean,  [indiscernible] process because our sales team has been waiting for this system, definitely. And how much -- I mean, the disturbance [ph] you were gave, I cannot see now. But I'm sure this system -- I know also for the features, we remodeled all the appearance, the designing. So the system looks very elegant. And before, all the China-made systems looks not so elegant, not so smooth compared with the multinational systems. Our new DCS, the modeling is very smart, very modern and very elegant, so it looks very nice. So not only the system is very reliable, much more reliable, and also looks much nicer and also user-friendly. And also the cost remains on the same as our previous systems. So in this case, definitely, we are going to increase our competitive quantities just for the DCS. For the SIS system, I know a lot of the investors suspected this or about how this system will fail. Because you just mentioned, the domestic Chinese domestic market for this SIS system is around RMB 1 billion. In fact, this is not complete. Because before, the SIS system was totally imported from abroad, dominated by a few -- I mean, a couple of international players. You just mentioned one of them, which is very good. So the SIS system was very expensive, first of all. And also the second is the service of the foreign system is never as good as the local systems, the second. So a lot of -- in fact, a lot of small and medium customers, they cannot afford before to buy the safety systems. So they use other systems to replace the safety systems. But now with our local system, I mean, our domestic system launched and also our system up to the -- is totally up to the safety standards because this system was developed and designed based on our SIL4 systems. We have designed a lot of SIL4 critical safety systems for the train and also for the railway stations. And the best system requirement that's higher is SIL4. And for the industrial systems, it's SIL3. So the system -- the safety is not a problem. It's totally up to the standard. And also, the structure is very nice. So -- and the cost, the price of this system definitely is comparatively lower than the multinational companies. So in that case, first of all, we have a lot of customers, our own customers. We can try to sell our safety system combined with our DCS so that we can supply the customer with a better solution, with a more complete solution. And secondly, we have a lot of power industry. For example, customers -- because we are very powerful in power industry and the other companies are not so powerful in this area. So after our system was designed, launched, definitely, we can penetrate this area much more easily. And the second, throughout a lot of, as I said, I mentioned, small and medium chemical process. In fact, before they do not use the critical safety systems. But now ever, the government now has more and more concerns about the safety of industrial operations. So definitely, they need a safety system for their emergency control. And also since our system is easier to use and also our service is much more convenient to them, so I'm sure we can break this market at first gradually and gradually. Just like as I said, like our DCS, before -- when we first introduced our system to the market. At that time, the DCS market was totally controlled by international companies. And we regularly are taking step-by-step, taking one area, one segment, and then gradually takes a higher level and then bigger projects. And gradually, nowadays, we can compete honestly in every area, every area in Industrial Automation. So in this case, I'm sure the system -- the safety system does not, I mean, become very popular in one day. It takes some time. But we are confident that since our system is very competitive in both performance quality and also in price so -- and also, in our services, in the implementation services. So I'm sure, gradually, we will take a majority of our market share. Okay. Thank you. 
Paul Gong: Can I have a quick follow-up? You just mentioned the cost of the new generation of DCS  is similar as the previous version. And also your safety system is quite competitive in terms of pricing compared to foreign products. Could you please give us a bit of color, say, how much cheaper than they are similar level of products and maybe like a guidance on this? 
Changli Wang: Paul, could you repeat the question because my phone is not very clear so... 
Paul Gong: Yes. You just mentioned the fifth-generation of DCS was priced similar to the fourth generation, to the previous version. And also, your safety system is a lot cheaper or more cost competitive compared to other foreign products. Could you please give some indication like how much percent or cheaper than the foreign products? 
Changli Wang: You see, in different areas, different cases, the price difference are different. For example, in the -- nowadays, in the smaller power plant below -- I mean, small -- I mean 300 kilowatts -- 300 megawatts power plants, before it was huge. But now we consider they are small and medium power plants. For example, in this level, our system price is -- we are not competing with foreign companies by price because the price is almost similar, but still we are winning. We are winning on most of the projects. Last year, we hold -- we took almost half of the market share. For the larger power plants, like the 600 and above -- 600 megawatts and above, our price is at least 20% lower than the multinationals. 
Paul Gong: How about the safety system? 
Changli Wang: The what? The safety system? 
Paul Gong: Yes. 
Changli Wang: The safety system, we haven't priced it yet. So we will see, we will try how much. Because I'm sure from the cost level, we are -- we have a lot of  [indiscernible]. But how much we price the product, we have to try it from the market. Okay? 
Operator: Your next Western comes from the line of Mark Tobin with Roth Capital Partners. 
Mark Tobin: Following up on Paul's question a little bit as it relates to gross margin, your margins have been quite strong really all throughout fiscal 2012. They improved even over 40% here in the fourth quarter. Can you give us a sense of what's contributing to that specifically and what level of gross margin you expect going forward into fiscal '13? 
Changli Wang: Okay. This question is very interesting. I know it's very difficult to answer because, first of all, the -- in Hollysys, the business -- different business have different margins  [indiscernible]. The Industrial Automation is on the average, and high-speed rail is a little higher than Industrial Automation. And the subway systems used to be lower, much lower. And this couple of years, we intentionally reduced the lower margin business, like the subway systems, and we try to increase the larger parts. And fortunately, our DCS, our Industrial Automation segment has done very well for this quarter and this year. So we have maintained the general [ph] margin. And also, we have increased our operational efficiency dramatically in the last 2 years. So we have been trying very hard to reduce the cost and increase the efficiency. So this helped the increase of the margin. And the third, which is the most important, maybe, is the railway business last year, although, we have not recognized most of the projects as of 2010. But most of the project we have finished in 2012 is the 200-kilometer powertrains, which have a higher margin compared with the 300-kilometer trains. And also, in this 2012, especially these 2 quarters, the earlier 2 quarters, in the railway business, we have done a lot of upgrading in the services work. Because after the tragic accident last year, the Ministry of China Rail called all the system providers to modify a lot of system parameters, et cetera. For example, they lowered the speed from 250 to 200. In that case, we have to change -- to modify all the parameters of the systems. So they paid for that, and this result in any hardware supplier. So this helped the increase of the margin. So for the future, we do not expect so much of this kind of projects. But still, we are trying very hard to maintain stable -- I mean, on the average, a stable margin in the future, even for the Industrial Automation and for the railway business. And for the subway, still, we just choose the best projects we can do. And also later on, after we finished the signal systems, we have to read the margin in that business segment. In that case, the overall business margin will be okay. But I do not expect a higher margin  [indiscernible] in the future. 
Mark Tobin: Okay. That's helpful. And then, I guess, following on, looking at your guidance, does your guidance, does that include any contribution from future acquisitions? Or is that strictly organic growth? And then can you give us a sense on kind of what you're expecting within that guidance from Industrial Automation versus Rail? 
Changli Wang: In that part, we -- first of all, last year we acquired Concord. And although they didn't contribute a lot for this year, but we expect them to contribute more for the next year, for the year 2013. And so far, we are looking for other opportunities. But when we made this guidance, we did not include any further acquisitions. We just based on the operation now. And for the segmentation of different segments, it's very hard to tell because we do not give that kind of information. But still, I can give you some hint. The Industrial Automation still will maintain stable growth, I mean, like 20% to 25%, for example. And the Rail business, because last year was very bad and decreased a lot. And in the year 2013, we expect some, I mean, normal growth but not too much, but normal growth to some extent [ph]. And the international business will be better compared to this year. So overall, we expect that guidance. 
Operator: Your next question comes from the line of Chapman Deng with JPMorgan. 
Chapman Deng: I actually got 2 questions here. The first question is, I noticed that in the fourth quarter, your operating cash flow was only $0.5 million, which is lagging behind your net profit. May I know the reason why and what kind of operating cash flow do you expect in FY '13? That's my first question. The second question is that I also noticed that you have a very large amount of net cash sitting on the balance sheet. And I would like to know what is your plan to do with the cash? Do you  [indiscernible] cash flow acquisition or will you consider a dividend payment for shareholders? 
Changli Wang: Thank you, Chapman. The first question, I would like Madam Qu to answer that. Okay? 
Chapman Deng: Okay, sure. 
Herriet Qu: [Chinese] 
Chapman Deng: [Chinese] 
Herriet Qu: [Chinese] 
Chapman Deng: [Chinese] 
Herriet Qu: [Chinese] 
Jennifer Zhang: Okay. I will translate for the 2 questions. The first question, the reason for the operating cash flow of $0.5 million is mainly influenced by the overall macro economy. Within the external environment, we have very bad cash collection but -- both from the Industrial Automation and high-speed rail. But the management, we're trying our best to improve our operation to at least to maintain our cash -- net cash, the operating cash be positive. As for the second question, as for the effective use of the cash, yes, indeed, we have a high level of the net cash and currently, we are -- we will consider the acquisition and we are also in the consideration of paying the dividend. So does that answer your question, Chapman? 
Chapman Deng: Yes. 
Operator: Your next question comes from the line of Saiyi He with Macquarie. 
Saiyi He: I have 3 questions. My first question is about our company's new guidance for FY '13. We have guided in the range of 20% up to 27% revenue growth but just 10% up to 17% of net profit growth. Is it because you're expecting a normalization of margins going forward into FY '13? That is my first question. My second question is, can you give us a guidance in your DCS business, how -- sorry, your Industrial Automation business -- how is DCS and PLC are doing? And is your whole system solution program tracking very well? And if you wouldn't mind, can you share with us which industries are you particularly doing well and especially in the order book, where you're winning the most orders come from. And also, my last question is actually about our company's new product development. How soon do you expect we should see orders on those new products such as HiaGuard and other like subway signaling, et cetera? 
Changli Wang: Okay, thank you. For the guidance 2013, you can see it's lower -- the growth is lower compared to the '12. In fact, we have already talked about it. Because in 2012, it's not normal, it's too high because we have 2 reasons. One is, as I just mentioned, that for '13 -- 2013, we expect the margin will be normalized. So the different number is right. And for the Industrial Automation, the DCS are okay. They are selling very well, growing very well, very healthily so far. And also for the PLC, it's also growing very quickly. And have been trying to explore new areas for the PLC products. For example, we fund quite a large applications in the coal mining industry and also in the water pollution processing process. And also, our PLC products have been used for the subway systems, replacing the international products already. So all these are doing very well. We are expanding. We are growing faster in the future for the PLC. And for the DCS, it's quite normal, as I said, and have a new system coming out will help to increase the competitive advantages for the DCS. And also, you just mentioned the total solution and the service work, so far, it's performed very well and, in fact, especially the total solution and the -- with the service work and with our expertise solution to the customers. In fact, they are welcomed very well for this part. And for the much details, I do not want to disclose because this -- I mean, this is kind of related to our operation so -- but anyway, I can say all this strategy has been working very well so far. And for the new products you just said, when we expect to get orders? In fact, we are expecting to get orders this year. This calendar year, definitely, we are going to have orders for the safety systems and for the PLC and the new DCS, definitely. But how much? What's the magnitude? I'm not sure so far. Because we have deployed a dedicated team for the selling of these new products. Okay, Saiyi? 
Saiyi He: Yes. Mr. Wang, I just have a follow-on question. Can you just share with us how is the margin trend going for your DCS and PLC or total solution? Do you have a targeted margin for your teams? And you said that DCS is tracking very well, and PLC is doing extremely well. In terms of order book growth, what does they imply? Because your Industrial Automation order book in the fourth quarter has grown 25% year-on-year. So is that telling me that your DCS is growing at 20% or PLC is growing much faster than 25%? 
Changli Wang: No, no, no, not that. PLC is too small. Although it's growing very fast, but the volume is still too small. It's not that significant compared with the DCS, so far. But gradually it will come up, with the volume building up you see. 
Saiyi He: So most of the growth still come from DCS, right, DCS-related? 
Changli Wang: DCS and the DCS-related products. 
Saiyi He: Okay. So what margin are you still targeting? 
Changli Wang: The margin is the same. We try very hard to remain constant, almost at constant. 
Saiyi He: Okay. Yes, Mr. Wang, for our Railway business. Do you expect recovery within this year? Do you expect your order book will be finally executed on the railway, not including subway, just on the railway, high-speed rail? Have you got... 
Changli Wang: Yes, we are expecting new orders. And also, the old orders are -- I mean, they are under execution so far. 
Saiyi He: Have you -- have they -- some of the order products been put on hold have told to be resumed? Because we heard the high-speed railway line opening has been further pushback. 
Changli Wang: Not for us. Our engineer is working very hard for these few months to catch up the delays they have done before. 
Saiyi He: Okay. Would you expect within the next quarter, you'll make delivery like orders on delivery or some of the high-speed rail orders? 
Changli Wang: Yes. We -- in fact, we're delivering products normally now every month. We deliver some products now even. 
Saiyi He: On high-speed rail? 
Changli Wang: On high-speed rail, yes. 
Jennifer Zhang: Okay. Thank you, everyone, for joining us on the call today. If you haven't got a chance to raise your questions, we'll be pleased to answer them through follow-up contacts. We look forward to speaking with you again in the near future. Thank you. [Chinese] 
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.